Operator: Welcome to the Fourth Quarter Investor's Conference Call. Today's call is being recorded.
 Legal counsel requires us to advise that the discussion scheduled to take place may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements.
 Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form, as filed with the Canadian Securities Administrators, and in the company's annual report on Form 40-F, as filed with the U.S. Securities and Exchange Commission.
 As a reminder, today's call is being recorded. Today is Friday, February 5.
 For opening remarks and introductions, I would like to turn the call over to Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir. 
Jay Hennick: Thank you, officer. Good morning, everyone, and thanks for joining us for the fourth quarter year-end conference call. I am Jay Hennick, Chairman and CEO of the company, and with me today is John Friedrichsen, our Chief Financial Officer. 
 This conference call is being webcast and is available on our Investor Relations section of the website. A presentation deck is also available there to accompany today's call.
 Earlier today, Colliers International reported record fourth quarter results as well as year-end results, continuing the momentum we have had throughout our first year as an independent public company.
 Revenues for the quarter were $550 million, up 11% in local currency, EBITDA was up 29% in local currency and earnings per share came in at $1.06, up 9% versus the prior year quarter, itself a record quarter for Colliers. 
 Excluding the impact of foreign exchange on our earnings per share numbers, we would have been above $0.31 higher. So great results all around, to say the least. John will have more to say about our quarter and year-end results in just a few minutes.
 Without a doubt, 2015 was a transformational year for Colliers. It was our first year as a stand-alone public company. We strengthened our leadership team significantly. We generated record revenues and profits as I mentioned despite significant foreign currency headwinds. The fact is Colliers generates only 36% of its revenues in the U.S., which is considerably less than its peers, and that means we're impacted much more than the others when it comes to declining global currencies. And that masks the strong growth we've achieved in local markets and in local currencies.
 EBITDA margins exceeded 10% for the first time in our history. As many of you will recall, about 4 years ago, we set out to achieve this target by 2016, and I'm pleased we were able to exceed it one year earlier than expected.
 During the year, we continue to grow our business internally and through acquisition. We completed a total of 9 acquisitions during the year, 7 in the Americas and 2 in the EMEA. 
 During the fourth quarter, acquisitions included Colliers Atlanta, one of the top players in the Atlanta market, with more than 250 professionals. Colliers Atlanta was a natural step for us given our long history as partners and shared passion for excellence. 
 The addition of Summit Realty immediately earned Colliers a place among the top players in the Indianapolis. With more than 70 professionals, Colliers Indianapolis has a long track record of success in this market, but it's also been incredibly successful in helping clients expand to new markets.
 Our global platform will be a great benefit in the future as we collectively leverage all that Colliers has to offer. 
 And by adding the brokerage operations of MDG in Portland, we bolstered our existing operations, and together, have now become the leading market player with more professionals than any of our peers and a dominant local platform offering a full array of services.
 Our balance sheet at year-end has never been stronger nor has the cash flow from our operations. Both of these give us all the ammunition we need to continue pursuing our discipline and successful growth strategy. 
 And finally, we declared and paid our inaugural dividend on our common shares. A milestone year in every way.
 And then we began this year with 3 more acquisitions, the addition of Colliers Central Florida, added another well-known market leader and longtime Colliers partner, with 165 professionals, effectively doubling our revenues in the Sunshine State. 
 In the U.K., we added another leading investment in office agency specialists, extending our practice in the City Fringe area, otherwise known as Tech City, a new and emerging area of London and the epicenter of the U.K. new digital economy.
 And in Montreal, Quebec, we added a boutique provider of landlord and tenant advisory services to further strengthen our operations in this important Canadian market.
 Despite the early momentum, there is cautious investment sentiment out there especially as it relates to commercial real estate, and navigating this has never been easy. However, our information in the commercial real estate market is that we will continue to do well this year as a number of factors bode in our favor, although we expect slower growth than in 2015.
 As you might expect from us, we see uncertain times is a good thing for Colliers. As long as we continue to execute, focus on the long term and remain disciplined in our approach, we generally look for opportunities in the marketplace to capitalize for the benefit of our shareholders.
 As a business leader, I'm always looking for growth opportunities, and right now, I couldn't find a better industry to be in than commercial real estate.
 The market is huge with almost $150 billion annually in revenue and growing, and the top 5 players of which Colliers is one, have only 17% of the market. With such a highly fragmented market, there are just tremendous opportunities to continue to grow and consolidate for many years to come. 
 But before I turn things over to John, I'd like to say a few words about why Colliers is actually different than the rest.
 As 1 of only 4 companies who have a global platform, more than 16,000 Colliers people operating in 66 countries around the world are unified by the power of delivering services seamlessly wherever our clients choose to do business.
 What sets us apart is not what we do, but how we do it. As you might expect, there's really no difference between the high-quality real estate service professional from any of the major firms. Each of them can do an effective job for clients.
 But what makes Colliers different is our enterprise and culture. As a company, entrepreneurship has been part of our heritage and it's built into each one of the Colliers' people. The Colliers way encourages Colliers' people to think differently, to share great ideas and to offer thoughtful advice to accelerate our clients' success. Colliers' people can't operate well in environments with layers of management, red tape and bureaucracy. Instead, they need the autonomy to be creative and passionate about what they do so that they can deliver the best advice possible.
 Being enterprising and entrepreneurial is the Colliers difference, and these characteristics of our company and our people are very difficult to replicate. With our proven management team, significant inside ownership, disciplined growth strategy and more than 20-year track record of success, Colliers International is in a better position today than in any other time in its history to create additional value for shareholders. 
 And now let me turn things over to John for an overview of our financial results, and then we'll open things up for questions. John? 
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning highlighted by Jay's opening remarks, Colliers International Group reported its best quarterly and annual performance ever, with strong consolidated financial results and substantial contributions for most of our operations across our global platform. I will address our overall consolidated financial results for the quarter and for the full year, our operating results by region -- by reporting region for the quarter as well as our capital usage and financial position, all of which relate to continuing operations. 
 So for our fourth quarter fiscal 2015, consolidated revenues increased to $556 million, up 11% in local currencies from $542 million in the fourth quarter of 2014, with 8% of our growth generated internally, and the balance from acquisitions.
 Total revenue growth for the quarter in our U.S. dollar reporting currency was 3%. Adjusted EBITDA for the quarter totaled $79 million, up from $67 million in Q4 of last year, an increase of 29% in local currencies and 18% in U.S. dollars, while our margins grew to 14.2% compared to 12.4% last year.
 And our adjusted earnings per share came in at $1.06 compared with $0.97 per share reported for the fourth quarter last year at 9% in U.S. dollars, with FX negatively impacting adjusted earnings per share in the quarter by $0.13.
 For the full year of 2015, consolidated revenues increased to $1.72 billion, up from $1.58 billion in 2014, an increase of 18% in local currencies with 11% internal growth and the balance from acquisitions. Total revenue growth for the year in our U.S. dollar reporting currency was 9%, reflecting the large proportion of our total revenues generated outside of the U.S., and weakness in foreign currencies relative to the U.S. dollar in 2015.
 Adjusted EBITDA for the year totaled $181 million up from $147 million in 2014, an increase of 34% in local currencies and 24% in U.S. dollars, while our margins grew to 10.5% compared to 9.3% last year.
 And finally, adjusted earnings per share came in at $2.29 compared to $1.83 last year, up 25% in U.S. dollars, with FX negatively impacting adjusted earnings per share for the full year by $0.31.
 Our adjustment to GAAP EPS and arriving at adjusted EPS are outlined in our press release issued this morning and are composed primarily of noncash charges that we view as largely unrelated to our operating results and are consistent with those outlined historically.
 Turning to our operating results, I will focus my comments on our fourth quarter, though there is additional full year information contained in the appendix to our presentation slides that accompany this call.
 Our $556 million of revenues for the quarter was comprised of $365 million in Sales and Lease Brokerage, and the balance of $191 million from outsourcing advisory services, with growth in the latter category of services increasing 13% over the prior year in local currencies. Our Lease Brokerage services delivered strong growth in the quarter, up 15%, while our Sales Brokerage services delivered a solid 8% increase. 
 The more recurring revenues generated by our Outsourcing & Advisory services segment represented 34% of our overall revenues in the quarter, same percentage as in Q4 2014. Geographically, both revenues and adjusted EBITDA remained well balanced with half of our revenues and 43% of our adjusted EBITDA generated in the Americas.
 We believe such diversification is very desirable and an important part of our growth strategy in building our global platform as a leading player in the consolidating commercial real estate services industry. However, in the short term, this diversification continues to weigh on our reporting results when translated into our U.S. dollar reporting currency.
 Turning to the regions. In the Americas, revenues were $276 million, up 13% in local currencies, with 6% internal growth and 7% from acquisitions led by our U.S. operations.
 Lease Brokerage revenues were up 15% in local currency versus last year paced by our U.S. operations, up 23%. Sales Brokerage revenues were up 10% versus last year led by a 13% increase in the U.S.
 Outsourcing & Advisory revenues were up 17% in local currencies led by strong growth in project management in both the U.S. and Canada, and consulting and appraisal and property management in the U.S.
 Adjusted EBITDA came in at $35.2 million versus $32 million last year, and a margin of 12.8% versus 12.6% last year.
 Turning to EMEA. Revenues of $152 million in the quarter increased 13% local currencies, with 12% internal growth and 1% from acquisitions. Lease Brokerage revenues were up 13% over last year, while Sales Brokerage was up 9%.
 And in both service lines led by growth in the U.K. and Central and Eastern Europe. Meanwhile revenues from Outsourcing & Advisory services increased 18% led by strong growth in the U.K., France, The Netherlands and Poland. 
 Adjusted EBITDA was $25.5 million, up 12% over the $22.8 million generated in Q4 last year, with our margin increasing to 16.8% versus 15.2% last year. And finally, in our Asia-Pac region, revenues came in at $128 million, up 6% in local currencies, but down 7% in U.S. dollar terms. Revenue growth in local currencies was all generated internally and primarily attributable to strong growth and leasing brokerage revenues across the Asia Pacific region, up 21% in local currencies, while Sales Brokerage was up 6% in local currencies led by our New Zealand operation.
 Outsourcing & Advisory revenues were down 3% in local currencies, primarily due to a planned reduction in certain valuation services primarily in Australia. Adjusted EBITDA was $21.1 million, down from $23.4 million last year with our margin at 6.5% versus 17% last year.
 Moving to our capital deployment and balance sheet, our fourth quarter capital expenditures totaled $6.7 million, down from $10.1 million last year, and bringing our year-to-date CapEx to $22.5 million at the low end of our previously estimated range of CapEx spend for 2015.
 We invested $16.9 million in acquisition activities during our fourth quarter, down from $70.7 million last year, which included the acquisition of our France-based workplace solutions business and bringing our year-to-date investment and acquisitions to $54.5 million versus $147.4 million last year. All of this was funded by strong cash flow from operations, which totaled $127 million for the year, up 23% versus 2014 at an all-time high amount for Colliers.
 Our net debt position stood at $145 million at the end of the quarter, and our leverage ratio, expressed as net debt to adjusted EBITDA, stood at 0.8x compared to 1x at the end of 2014.
 In terms of our financial capacity, with cash on hand and committed revolver availability, we had over $350 million of liquidity at quarter end, a level ample to fund operations and other capital investments, including acquisitions needed to execute our growth strategy.
 Looking across our global operations, our pipelines in most markets continue to reflect solid commercial real estate activity compared -- comparing favorably to levels seen in Q1 of 2015, with some continued market challenges in parts of Latin America and in certain parts of Asia, primarily China. 
 Despite headline risk driven by stock market volatility, weak oil and commodity prices, and contained geopolitical risks, we believe that low interest rates, accessible financing and the general stability in the supply and demand for commercial real estate in most markets bodes well for continued solid activity in sales, leasing and other commercial real estate services. Against this backdrop, we have the following comments regarding our outlook for 2016. We continue to see robust revenue pipelines in most markets. We see some risk in momentum based on market volatility, but believe that the fundamentals impacting commercial real estate to be favorable.
 We expect foreign exchange headwinds to continue, but not as pronounced as it was in 2015.
 Our best estimate for revenue is mid- to single-digit percentage growth -- mid- to high single-digit percentage growth, EBITDA margins consistent with 2015 and mid-single-digit percentage growth in adjusted EPS.
 Our long-term growth strategy in building and strengthening the Colliers local platform remain intact and focused on, first, selective recruiting in key markets to fill service line gaps; and two, strategic acquisitions to add services and build our capabilities in major markets. While we are intent on executing on both of these in 2016, we have not included the financial impact of either of these initiatives in our outlook previously outlined.
 That concludes our prepared remarks, and I would now like to ask our operator to open up the call to questions. Operator? 
Operator: [Operator Instructions] And the first one is from Anthony Zicha. 
Anthony Zicha: Jay, do you see a slowdown in the U.S. commercial real estate markets? And comparing to -- well, looking at your experience, like, are we near a peak? What's your feeling on that? 
Jay Hennick: I think my comments that I made in my prepared remarks are probably the best way to put it. Our pipelines are good and access to capital is good. Interest rates are low. But the stock markets are scary, oil impacts things. And so general sentiment is not so good, and so that is slowing things down for us, primarily in the area of investment sales, less so in leasing although it does impact leasing as well. So I think our view from a -- specifically around the U.S. is that '16 should be an okay year, may not be as frothy in terms of growth as we've seen in, say, '15, but the markets are still pretty good and allocating capital to real estate is something that a lot of people are talking about as an alternate form of investment. So we're feeling pretty good about it, to be honest. 
Anthony Zicha: Okay, great. And then can you talk a bit about your branding in terms of what you're seeing out there in the marketplace, in terms of acquisition multiples. Are you saying that there is some uncertainty, but is this profiling some opportunities for Colliers? 
Jay Hennick: Well, first of all, our brand continues to get stronger, that's not just in the U.S., it's locally. The professionals that are joining us are finally getting it that we have one of the great platforms, we're more entrepreneurial and enterprising, and if you want to make a difference and be part of a firm that's on the rise, Colliers is the right place to be. But Tony, you've followed us for a lot of years and you know that we look for uncertainty in the marketplace to capitalize. And so we're long-term investors and heavily invested in our business unlike many of our peers. This management team owns a significant amount of equity in the business, and it's not just the people that you're talking to here, there's 300, 400, 500 people within Colliers that own significant equity in the business. And so from our perspective, this is a long-term gain. And when markets are uncertain, this is exactly the time to take advantage of them. And, as you know, there's countless examples of that over the years as markets have fluctuated in commercial real estate. So we look for these kinds of times to capitalize. 
Anthony Zicha: Okay. And just one last question that was referenced to your U.K. operations. It was the main driver in the EMEA. How much more room do you have there in terms of opportunity? And do you have other opportunities for international market expansion? 
Jay Hennick: Well, I mean, the U.K. is a great example of capitalizing on a market when everybody else was down on the market. We bought that asset at a time when the markets were in the doldrums. And I would say that we would be #3 or 4 in the marketplace if you take out residential revenues generated by this player or that player. But having said that, there's lots of runaway room for us in the U.K. There's a tremendous opportunity for us in France and the rest of Western Europe, particularly because the platform that we acquired last year, the AOS platform, now rebranded as Colliers, is in revenue terms, more than 50% workplace solutions, giving us a great opportunity to graft onto that great platform much more traditional commercial real estate services that we provide in other markets. And I haven't even started to talk about Asia where there's great opportunities for us. Australia, there's some interesting things. And the U.S., we think 2016 could be a year for us in the U.S. for a number of reasons. So all in all, we're trying to keep our head down and focus on building our business one step at a time and navigating around this negative sentiment that we read about in the -- everyday in the newspaper, and watching stock fluctuations in our industry and among our peers. We're in a great place to capitalize. 
Operator: [Operator Instructions] Our next question is from Anthony Jin. 
Anthony Jin: Just when I'm looking at the EMEA margins, they were much stronger year-over-year, while revenues were relatively flat. Now were there any specific boost from AOS this quarter as we've seen in the past? Or is it just more a broad-based improvement that's masked by FX? 
John Friedrichsen: Anthony, it's John. Yes, our workplace solutions business performed very well, had a very strong finish to the year. So absolutely positively impacted margins. And I would say the U.K. business as well in terms of the mix you know that we've made significant investments in the sales and leasing side there, and we saw the benefits of that with a strong finish to 2015. So I would say both of those things contributed to the increase in margins in EMEA. 
Anthony Jin: Okay. And then can you just comment on the sustainability of the, I guess, in the margin boost from AOS out of Colliers France then? 
John Friedrichsen: Absolutely sustainable. As we've talked about before, from quarter to quarter, there will be some fluctuation in margins that we experienced in that business. We finish our projects and earn completion fees based on success. So that will play out from time to time. But this is a very, very solid business, which will generate, on average, upper single to low double-digit margins going forward, and we're continuing to see growth of business not only in France, but in other areas at EMEA and internationally. 
Anthony Jin: Okay. Great. And if I can get perhaps a broader commentary. One of your competitors if we could discuss they -- a cooling in the buying sentiment with respect to pricing, while seller expectations remain relatively high. This is in respect to commercial real estate investments. Now, are you guys seeing any of this dynamic and perhaps you can comment on how this buyer-seller behavior has changed over the last couple of quarters? 
John Friedrichsen: I don't know exactly who you're referring to or what they were saying. I can say that, Anthony, certainly in key global markets, we all know which ones they are. Over the last few years, we've seen some very, very high prices paid for filthy profit and so forth, that probably has cool off slightly. But I would say that, that is a very small part of the market. And I think pricing stability has been pretty consistent over the last year for sure. And I don't think we see any degradation around that other than what I just referred to. So we feel that it's intact, and I think whenever we have some headline risk that we're seeing now there may be a pause, but I think once we get through that, as I said earlier on, I think, we believe the fundamentals are largely intact to support pricing in the commercial real estate market and don't see a significant pause in that at all. 
Operator: Our next question is from David Gold from Sidoti. 
David Gold: So couple of questions just on the outlook. One, as we speak about expecting, say, modestly lower growth in the year, really 2 questions there. First, how much of the impact that you're baking in is based on currency or how are you thinking about currency for forecasting, John? 
John Friedrichsen: Our belief is that we wish they had served our expectations around local currency growth. That's what we try and best estimate. And there's going to be some impact, we believe, on FX that will probably negatively impact our expected growth rate in terms of local currency. But at least at this point, we don't believe that it will be nearly as dramatic as it has been over the last couple of years. And I think more recently, we've seen some pull back in the U.S. dollar, which we don't know whether that'll continue or just stay where it is. But -- so we expect a much more moderate impact on FX, negative impact on our business in our results this year. 
David Gold: Got you. Okay. And then, Jay, we've been hearing pretty consistently that there is a bit of a disconnect between, say, the volatile equity markets and what's truly happening on the real estate side of the world. Translation that it hasn't really just stopped things or as much people think. Can you speak a little bit towards confidence in pipelines. It sounds like you're seeing similar pipelines to a year ago. But your confidence in the year and maybe expectations there as far as it sounds like you might be a little concerned about momentum or am I reading that wrong? 
Jay Hennick: I'm not concerned about momentum in the sense that I think business will continue to do nicely. I just think that gaining growth market by market is not going to be as easy in '16 as it was in '15 for a variety of reasons. And so as we're looking at '16, we're saying it's going to be a good year. We're going to do nicely. But our internal growth expectations are dialed down somewhat, and we're hoping to be able to accelerate our acquisition engine a little bit to offset some of that and use the slower growth and the uncertainty and what everybody is reading in the newspaper as an advantage to us as we move forward here. I don't know if that answers the question you're looking for, but hopefully, it gives you a taste. 
David Gold: Sure. But just, I guess, to that end, are there things that you are doing differently, business-wise to sort of position. So in other words, are you still actively hiring? Have you dialed back on that a little bit? And, I guess, it does sound like you're still actively looking at acquisitions. 
Jay Hennick: Well, we're actively hiring all the time. I would say that there are some smaller players in the marketplace that are offering dollars to the players that if you calculate their returns, they're negative. We don't do business that way. That's the way other people operate, and we know what happens to those people. So we have to use discipline in our approach on recruiting. We've been very strategic when we believe a high-quality professional will augment us in our major markets that will help to throw off additional business into other areas. We're as competitive or more so than others. And all the while benefiting because we are -- we do have more momentum than the others. We are more entrepreneurial than the others. The great real estate service professionals want to be in an environment where they can ply their craft in a way that doesn't require them to follow rules and to line up and sing the national anthem every day at 10:00 in the morning and stuff like that. And I think that gives us an advantage for the right kind of people. And at the end of the day, that's worked to our advantage. 
Operator: [Operator Instructions] The next question is from Stephen MacLeod from BMO Capital Markets. 
Stephen MacLeod: I just wanted to talk a little bit about the outlook. And I was just hoping maybe you could identify potential areas where your EBITDA margin outlook could either be a little bit higher than what you're looking for or a little bit lower than what you're looking for. 
John Friedrichsen: Look, Steve, it's been, in some respects, a long road but shorter than we expected to arrive at the margin we're at now. We had telegraphed what we needed to get there, which was really bolstering our businesses in a number of areas and gaining scale. I think it remains to be the case. I mean there are certainly areas where we believe margins are pretty much optimal, but other areas and significant ones where we believe that there's further upside, and it is mainly a scale game, and it's around productivity. And we've made significant strides in those areas. We're not done yet and I think there is further upside. If you look at, I think, the U.S. we've talked about in terms of margins, we've come a long way but there's still room for improvement there. And in Asia, even though for us, Asia still is when you look at the entire picture, a relatively small part of our business. Our margins aren't where we want them to be, and we have plans to get there, and we will need market conditions to help us get there. We believe that that's going to happen, may not be in '16, but certainly going to be beyond that time frame. So as to upside, don't really want to quantify what that is. 
Jay Hennick: I would layer something on top of that, and that is that when you look at our 2 publicly traded peers and the margins that they are generating, you have to dial out the margins that they generate from their investment management business, which is significant at very high margins and pulls up their overall margins as an organization. And that also adds performance fees on their managed funds, which further drives their margins up. So if you were to compare our global margins to the margins generated by the other 2 publicly traded peers, I think you'd find our margins pretty much in line right now across the board with our peers. I may be off some basis points, but I'm not off 100 basis points. So we're pretty much in line right now and very proud of where we are. I think it's sustainable. It's been a long road for us for years. And we did it a little faster than we thought. But we do have the platform we need. John's comments are absolutely right. If we can move margins up in Asia, that will help. If we could move margins up in the U.S., that will help. And -- but I think we're pretty much at an optimal level and -- but for those 2 or 3 things, and we should really focus our efforts now on driving topline and bottom-line growth. 
Stephen MacLeod: Great. Okay. That's helpful. In terms of the M&A pipeline, I mean, obviously, we've talked a lot about it this morning. But you were very active over the last through December and then thus far in 2016. Is that reflective of what the pipeline potentially looks like right now? 
Jay Hennick: Yes, we have a very good pipeline. As you know, Steve, you've been following us for a while. We consider tuck-under acquisitions to augment our internal growth. We have an acquisition team, which is quite extensive. It works extremely well with operations around the world. And so we are originating, considering, underwriting acquisitions on a global basis and I think doing a pretty nice job of it. And to my earlier comments, we're in an industry where only 17% of the overall market is consolidated. So we should be able to continue to capitalize on this for many years to come. As long as we keep our discipline and look for 16%, 17% IRRs on every single deal we do, we should be able to continue to grow Colliers internally and through acquisitions and add share value for many years to come. 
Stephen MacLeod: That's great. And then just finally on the M&A under on the previous pre-split structure, you used to have a target for what M&A can potentially contribute on a topline basis. Do you have -- is that something that you would be sharing? And I mean do you have a target like internally that you're looking at and something that you would be able to disclose? 
John Friedrichsen: Steve, we don't budget acquisitions. As you can imagine, we were very active, but the kind of businesses we buy are generally from private owners and in virtually all cases, they don't need to sell. So it's an interesting back and forth. So it's really hard to pin down the timing other than to say that again echoing Jay's comments, we have a robust pipeline and we're very motivated to continue selectively building our business through acquisitions. I think if you were to go back and kind of look at a profile what we would really like to accomplish over the next 5 years, it would be quite in line with what you may have seen before we split Colliers off from the rest of the business and that would be an equal weighting around contributions to topline revenue acquiring businesses that would have margin profiles at or better from where we are today. I think that would give you an indication of kind of where we see it. It may not exactly roll out that way but certainly, that would be our plan. 
Operator: Our next question is from Brandon Dobell from William Blair. 
Brandon Dobell: A couple of quick ones. On the margin question, maybe John, as you think about the mix of business '16 versus '15, and part of that is just taking to an account the kinds of acquisitions you made. How does a mix of business look to change those margin dynamics, all else equal? 
John Friedrichsen: I think I don't see a significant alteration, obviously, in the margins assuming that we're going to continue to be active in growing our business in the various service lines we're all -- we're generating today. We had 34% of our revenues in Outsourcing & Advisory. We like the recurring nature of much of that revenue that's generated that segment, so we're very interested in adding on to that. But we see excellent opportunities to continue building Sales and Lease Brokerage as well. So I would say on balance, our best estimate would be that would more or less stay intact. And in on itself not altering our margin growth profile. Again, as we build each of these areas in certain markets, we're in that same scale and that will absolutely help us to increase margins over time. 
Brandon Dobell: Got it. Okay, and then focusing on Outsourcing & Advisory for a bit. Maybe some color on the kinds of deals that you guys were winning during '15 and especially if you can give any color on what the mix of revenues within that, let's call it service line looks like in terms of contractual multi-year deals versus maybe the 3 to 6 months kind of advisory projects that are better than a transaction but not quite like a multi-year contract. Just trying to get a sense of the true multi-year visibility in that revenue stream. 
Jay Hennick: Well, we, unlike some of the peers, Brandon, we really don't spend lots of time talking about we won 16 things, 14 existing guys, renewed 72 others. We think that's a mug's game. And so from our perspective, recurring revenue, repeat revenue or long-term revenue streams that includes corporate solutions, it includes our workplace solutions business, which has an average of retainer arrangement of 18 months per retainer. And this is on a case-by-case basis. So often, you're working for a client in multiple locations. Each location would have an average job size of -- or term of roughly 18 months. And property management versus highly recurring and changes essentially only when a property is monetized and the subsequent buyer has its own internal management capability. So it's an amalgam of a number of things, and frankly, we don't even include in recurring revenue, as some others do, our leasing revenue, which would drive our recurring revenue up materially, but we don't believe that leasing revenue on an average lease term, let's say 5 years, is a recurring item. So things that we include in that category are more along the lines of what I just described. 
Brandon Dobell: Okay. And then final one for me. If you guys think about the headcount additions in '15, how do we think about '16 on a comparative basis, i.e. either geographies or service lines, do you expect to continue the trends that you've been on now? Or are there areas of emphasis that we should expect you guys to be a little more focused on, whether it's geography or service line? 
John Friedrichsen: I think it's across the board. We're at a point -- and it does vary by region, Brandon. I mean, there are certain markets, Canada and Australia, where we're just more selective in terms of adding on people, we're always looking to increase our bench strength, but in those 2 particular markets we're market leaders. So probably less of a focus there in terms of the actual numbers. U.S., Asia in particular, are both areas where we're operating in vast markets, and we're continuing to recruit in addition to acquisitions to build our capabilities. And then EMEA, which you've seen us active in the acquisition front, we continue to do acquisition relative to recruiting, not only in the U.K. what we talked about before but also in France in particular, building out the capabilities there beyond workplace solutions business. So again, it's going to be much of the same going forward for us in '16 as we saw in '15. 
Operator: [Operator Instructions] Our next question is from Frederic Bastien from Raymond James. 
Frederic Bastien: Your corporate costs were down materially year-over-year in the quarter. What was behind that? And how should we think about those costs trending going forward? 
John Friedrichsen: Yes, corporate costs were down on a year-over-year basis. We had some significant compensation costs, and actually base salary costs that were in last year were -- are no longer incurred by us as we work to streamline our global operations team. We've been through that and that's certainly part of it. And also we had a little bit of a favorable FX impacting our corporate costs such that you're really looking at corporate costs on a run-rate basis next year, we would be looking for something in the $16 million to $18 million range. So certainly lower this year, the reasons I talked about, but an amount that's reflective of our streamlining initiatives that we did this year. 
Frederic Bastien: Okay. Your mid- to high mid-single-digit revenue growth target isn't flowing straight to your bottom line target despite the flattish margins. What's causing this? 
John Friedrichsen: We've got a few more, we've got shares, we've got a little bit of dilution from the shares that were issued in conjunction with the spin out. We took out a minority interests in -- at the Colliers level and issued shares in conjunction with that, so we're going to pick up the full count on that. We've got a little bit of tax as well. As we grow our U.S. business, the unfortunate consequence there is higher tax rate. And we'll see that next year. So those 2 things will be impacting EPS. 
Frederic Bastien: And just to confirm your -- that target is inclusive of the recent acquisitions you made, but obviously nothing on a go-forward basis? 
John Friedrichsen: Correct. 
Operator: We currently have no more questions in the queue. [Operator Instructions] And there are currently no questions at the queue at the moment. 
Jay Hennick: Okay. Thank you, everybody, for participating, and we look forward to speaking again at the first quarter conference call. Thanks again. 
Operator: Ladies and gentlemen, this concludes the fourth quarter investors conference call. Thank you for your participation, and have a nice day.